Jan Strecker: Good afternoon, ladies and gentlemen, and thank you for joining us today to review financial results for the third quarter of 2025. Present on today's call are Stephan Leithner, our Chief Executive Officer; and Jens Schulte, Chief Financial Officer. Stephan and Jens will provide an overview of our performance and key developments during the quarter. Following their remarks, we will open the line for your questions. As usual, the presentation materials have been distributed via e-mail and are also available for download on our Investor Relations website. This call is being recorded, and a replay will be made available shortly after the conclusion of today's session. With that, let me now hand over to you, Stephan.
Stephan Leithner: Thank you, Jan, and welcome, everyone. I'm pleased to present our third quarter results, which once again demonstrate the strength, resilience and strategic balance of Deutsche Börse Group's diversified business model. Despite a more challenging backdrop in select areas, particularly index derivative at Eurex, ESG & Index at ISS stocks and some FX headwinds, we delivered solid net revenue growth without treasury results. This performance was driven by broad-based momentum with 5 out of 8 business units achieving double-digit growth in the quarter. That's a clear reflection of the robust diversification of our franchise. Our portfolio's balance enables us to consistently deliver even when individual segments faced temporary headwinds. By combining businesses with distinct growth drivers, we maintained a steady and scalable performance trajectory. Let me begin the review of the quarter with Investment Measurement Solutions. As expected, Software Solutions was the key growth driver delivering a solid 10% increase in net revenue. Importantly, annual recurring revenue is trending towards the upper end of our guidance range, supported by a robust client pipeline as we head into the fourth quarter and beyond. The recent acquisition of Domos marks an important strategic step for us in the Software Solutions business. Paris-based Domos is a leading provider of technology-driven solutions for managing and administering alternative assets including private equity, real estate and infrastructure investments. By integrating Domos' advanced digital platform and specialized expertise, we can offer clients a broader range of services, great operational efficiency and enhanced transparency in the alternative investment space. This positions us to capture the growing demand for alternatives among institutional investors and strengthens our footprint in a rapidly evolving segment of the financial industry, especially with the general partners, this opens up many new client opportunities. As we explained last quarter, the environment in the second part of our Investment Management Solutions segment, ISS STOXX remains challenging, especially for the ISS part. While we acknowledge the headwinds resulting from a changed attitude towards certain products, especially in the U.S., we believe this is largely temporary dynamic similar to historic cycles. We remain confident in a return to stronger growth in the medium term. In addition to market dynamics, this business saw the biggest impact of the weaker U.S. dollar on the top line. Regarding the 20% minority stake in ISS STOXX held by General Atlantic, nothing has changed, and we are under no pressure to make a decision this year. A buyout remains an option, and we will continue to carefully evaluate all alternatives with a focus on long-term value creation. Let me turn to the second area to Trading & Clearing. We saw strong contributions across several areas. Cash Equities delivered an impressive 21% net revenue growth driven by robust demand for European equities, in particular, from retail flows. Commodities advanced by 10%, continuing their secular growth trajectory, while FX rose by 7%, supported by market share gains. In Financial Derivatives, fixed income products performed well with 11% net revenue growth without treasury results. We're already seeing initial benefits from the active account requirements under EMEA for example, in OTC clearing with a noticeable step-up in volumes, and this puts us on track with our fixed income road map for further momentum in the coming months. As we have explained before, clients have some flexibility for activating accounts, but the overall potential has not changed. Equity index derivatives, however, remained under pressure due to subdued volatility and challenging market conditions. We believe this is primarily driven by cyclical factors, and encouragingly, we have already seen some improvement in volumes in October as volatility has picked up again. Our Fund Services and Security Services businesses, #3 and #4 of my outline, have also delivered excellent results with net revenue growth without treasury results of 15% and 13%, respectively. These gains were driven by record activity levels, supported by continued expansion of debt outstanding, healthy equity market valuations and sustained inflows into European assets, while double-digit growth in our fund business was in line with expectations. The performance in Security Services clearly exceeds them. In addition to strong custody activity, we saw new all-time highs in international settlement and collateral management, which further underscores the strength and scalability of this business. Let me especially applaud the teams in the new client wins and fast onboarding, like with German neo-brokers and Asian clients. On the cost side, for the entire group, operating expense growth came in slightly below our expectations. FX tailwinds and lower share-based compensation helped offset higher investments and inflationary pressures, keeping us firmly on track to achieve our full year target of around 3% cost growth. Based on our new steering methodology without treasury results, this translates into significant scalability, a 7% increase in revenue drove a strong 16% increase in EBITDA for the quarter. Even when including the treasury results, we maintained solid scalability underscoring the strength of our operating leverage. Looking at the 9 months of the year, we are fully in line with our expectations, delivering 9% net revenue growth without treasury results. Based on this performance, we confidently confirm our guidance for 2025. Our outlook remains supported by strong secular growth trends and continued inflows into European assets even as we experience slight FX headwinds. We're also confirming our overall targets for next year under the Horizon 2026 strategy. At our Capital Markets Day on December 10 in London, we'll provide an update on our progress and introduce new midterm guidance beyond 2026. We firmly believe that the secular growth drivers addressed by our strategy will continue to support our performance at least until the end of the decade. In addition, we see new growth themes emerging across the group that we will focus on to further fuel long-term growth. Taken together, these factors will enable us to consistently deliver growth levers going forward comparable to what we have achieved over the past several years. Artificial intelligence will also play a positive role in this journey. Let me emphasize this. It is certainly not a disruption risk, but as a powerful enabler of revenue growth and operational efficiency. We have performed an AI assessment across the group, and the results are very clear. We see our overall portfolio as extremely robust because we operate regulated system-critical infrastructure at scale. Today, I cannot replace. Instead, we are well positioned to capitalize on the AI opportunity. Our cloud-first infrastructure strategy, coupled with our current cloud adoption rate of over 74% has laid the groundwork for rapid, cost-effective and secure scaling of AI. We expect AI to generate tangible value for our clients and shareholders in 3 key areas. First, although most of our core process is already highly automated, AI will help us create greater efficiencies in our internal processes. Currently, we are focusing on automations across the software development life cycle, corporate center optimizations and improvements to client service and processes. Second lever that we see, we are actively rolling out algorithmic and domain-specific AIs across our products to enhance client productivity and initial results are very promising. AI also provides an additional distribution channel for our proprietary financial market data. And as a third lever, we are seeing positive secondary effects in our core businesses. For example, in our commodity business. Europe's power demand is estimated to increase by 10% to 15% due to AI data center energy consumption. Just like AI will drive further noncorrelated trading and small-sized high-volume trading in all of our asset classes. To hear more about this and much more, I warmly invite you to join us in London on December 10. It will be a great opportunity to engage with our leadership team, gain deeper insights into our strategy beyond Horizon 2026 and explore the exciting growth opportunities ahead. With that, I will hand it over to Jens for a closer look at the financials and segment details.
Jens Schulte: Yes. Thank you very much, Stephan, and welcome, everyone, also from my side. Let's start with a quick look at our performance over the first 9 months as shown on Page #2. As you recall, the first half of the year came in slightly ahead of expectations. This was largely driven by elevated equity market volatility in March and April, along with strong inflows into European assets. In Q3, we experienced the typical summer seasonality, coupled with lower equity volatility. This had a somewhat greater than anticipated impact on equity derivatives, particularly index products. That said, our year-to-date results remain firmly in line with our full year expectations and our Horizon '26 growth path. Net revenue without the treasury result rose by a solid 9%, underscoring the strength and resilience of our business model. Now turning to operating costs. We saw a few moving parts across the 3 quarters, but overall, the picture is consistent with our planning share-based compensation provision fluctuated during the period but ultimately were flat year-over-year in the first 9 months. The U.S. dollar-euro exchange rate, which started the year as a headwind turned into a modest tailwind. While the impact was less than 1 percentage point, it still contributed positively to the cost development. We also benefited from lower exceptional costs this year. This reflects last year's termination fee related to the EEX NASDAQ agreement as well as the wind down of costs tied to IMS synergy realization. All in, operating costs increased by 3%, exactly as expected. This uptick was primarily driven by inflation and targeted investments in our strategic growth areas. Bottom line, our EBITDA margin without treasury results improved significantly to 53%, up from 50% in the prior year as our businesses continue to scale. And we also made further progress with our share buyback program. By the end of last week, we had repurchased Deutsche Börse shares worth around EUR 441 million. This leaves approximately EUR 59 million remaining to be executed by the end of November. Let's move to Page #3 with our third quarter results. As Stephan already mentioned, net revenue without the treasury result grew by a strong 7%. Given the cyclical headwinds we faced this quarter, this performance highlights the breadth of our diversified portfolio. Total net revenue rose by 3% to EUR 1.44 billion. This was driven by the continued decline in the treasury results, primarily driven by lower interest rates and despite stable cash balances. Operating costs remained stable in the third quarter, while inflation and increased investments played a role. These were fully offset by favorable FX movements, lower share-based compensation expenses and a reduction in exceptional costs. Overall, our cost discipline remains strong and fully aligned with our strategic priorities. We continue to strike the right balance between investing for growth and maintaining operational efficiency. As a result, EBITDA without the treasury result showed high operating leverage increasing by 16%. Lastly, our effective tax rate came in slightly below expectations, thanks to smaller onetime positive effects. Looking ahead, we continue to plan with a 27% tax rate for '26 and beyond. Let's now turn to Page #4 and take a closer look at our segment results, starting with Investment Management Solutions. This segment is composed of 2 key areas. First, Software Solutions, which combines SimCorp's software business with Axioma's analytics capabilities. Within this area, we saw SaaS revenues grow by 22% and while on-premise revenues declined slightly by 1% as expected. This reflects a clear and ongoing shift. Existing clients are increasingly migrating to the cloud and new clients are typically SaaS-based from day 1. Our annual recurring revenue reached EUR 632 million at the end of the quarter, an 18% increase year-over-year at constant currency. Growth was particularly strong in North America with 27% and APAC with 37%. EMEA delivered a solid 17%. These figures compare very favorably with our main peers and reinforce the strength of our global footprint. The second part of the segment is the ESG & Index business of ISS STOXX, which saw flat net revenue development. However, on a constant currency basis, the picture is more encouraging. Net revenue in ESG & Index grew by 4% in Q3, supported by a solid contribution from the ESG business with 6% revenue growth. Similar to previous quarters, the Market Intelligence business experienced flat growth and low equity market volatility negatively impacted the exchange license business in the Index segment. Importantly, the segment's EBITDA saw a significant increase, driven by disproportionately lower operating cost growth, highlighting the scalability and efficiency of our model. Now let's turn to Slide 5, which highlights the performance of our Trading & Clearing segment. Starting with Financial Derivatives. We continue to benefit from strong fixed income activity. Net revenue without the treasury result increased by 11%, driven by double-digit growth in fixed income futures and repo revenues. OTC clearing all saw high single-digit growth, supported by record clearing volumes following the implementation of the EMEA 3.0 active account requirements in June. On the Equity Derivatives side, volatility moderated significantly in the third quarter, creating a headwind for index products. As markets trended upwards to new all-time highs, hedging activity also declined. However, we partially offset the effects of volume through an increase in average revenue per contract. This was in part due to the decommissioning of the Korea Exchange Link for after hours KOSPI trading as mentioned in our last call. Our Commodities business delivered another strong quarter with double-digit growth once again. In gas, revenue rose 31%, fueled by robust activity in European gas markets amidst supply uncertainties and below target storage levels. We also saw continued momentum in power derivatives in the U.S. and APAC, while activity in Europe moderated slightly due to reduced hedging needs. In Cash Equities, we benefited from strong demand for European equities and significant inflows into European ETFs. This reflects a broader investor rotation into European markets and growing interest in passive strategies. Additionally, we recorded a onetime revenue effect of approximately EUR 3 million from the sale of a T7 license to a third-party exchange. Finally, our Foreign Exchange business achieved net revenue growth across most product lines supported by new client wins and geographic expansion. This diversification continues to broaden our revenue base and enhance the resilience of the FX franchise. Turning to Slide #6. Let's look at the continued strong performance in our Fund Services segment. We are seeing positive momentum across the board, supported by higher equity market levels, new client wins, portfolio growth and ongoing inflows into European assets. As a result, we recorded a further increase in assets under custody and sustained high volumes of settlement transactions. Notably, our fund distribution business saw a significant step up in assets under administration, which now exceeds EUR 700 billion, a major milestone. This growth underscores the increasing relevance of our Fund Services offering and our ability to support clients across the full investment life cycle, from custody and settlement to distribution and administration. With disproportionately lower operating cost growth, the segment delivered significant operating leverage, resulting in strong double-digit EBITDA growth, both with and without the treasury results. Lastly, let's move to our Securities Services segment on Page #7, which has seen a further acceleration of growth compared to the strong first half of the year. The segment continued to benefit from strong capital markets activity with ongoing fixed income issuance and higher equity market levels, driving sustained growth in assets under custody and settlement transactions. We also saw record levels of collateral management outstanding this quarter, which contributed to the strong performance in custody revenue. These trends reinforce our central role in the post-trade infrastructure and the strength of our platform. On the interest income side, cash balances remained stable, averaging around EUR 17 billion for the quarter. As expected, we saw seasonal lows in July and August followed by a recovery in September when market activity picked up and balances rose to slightly above EUR 18 billion. The main driver behind the decline in net interest income was the lower interest rate environment. The ECB rate was 1.5 percentage points below the prior year quarter. And the Fed rate was 0.75 percentage points lower, both in line with our expectations. To wrap up, let's take a look at our full year 2025 outlook on Page #8. We are confirming our guidance for the year, supported by our expectations of continued secular growth and sustained inflows into European assets. This is despite the modest FX headwinds and the low equity market volatility and also aligns with the current sell-side consensus. In addition, we continue to expect a treasury result of more than EUR 0.8 billion for 2025. Based on current interest rate assumptions and stable cash balances, we forecast around EUR 825 million, which is also in line with analysts' expectations. On the cost side, we are very well on track to meet our guidance of around 3% growth in operating expenses for the full year. This reflects our disciplined cost management and strategic investment approach. That concludes our presentation. We now look forward to your questions.
Operator: [Operator Instructions] And the first question comes from Arnaud Giblast, BNP Paribas Exane.
Arnaud Giblat: One question then. I was wondering if -- I mean, you mentioned during the call that the IMS [ STOXX ] was postponed and that you are still considering a potential buyout. But I'm just wondering if you could update us whether there's an actual time frame on giving the [ minority ] shareholders a liquidity event? And if I may, secondly, there's been quite a lot of news around political comments made by German Chancellor around the potential -- around their willingness to see further consolidation in cash equities. So I was just wondering if you could update us on your thoughts there. I mean, historically, we know that cash equities hasn't necessarily been your priority in terms of consolidation. I'm just wondering if that might have shifted.
Stephan Leithner: On your first, Arnaud, and I just looked it up last call, we also took you as the first one on the question. So you've got a [ pull ] position. On the first one of your questions regarding to the minorities, there's no change to what we said before. There's the dual track. As we have always said, we're not alone, there is a partner, and we jointly manage the time line. So no changes in that overall. I think second, on the remarks that Chancellor made, I will put them into the context of a broader, very encouraging commitment that is made around strengthening the European capital markets. So really a push that wasn't there historically around capital markets unions, progressed a number of levers in that context. I think for us, we are a big contributor to that. We have made a lot of progress in terms of European full coverage in terms of infrastructure. This isn't only about the cash markets. So there's really no change with respect to our position and our strategy.
Operator: Next question is from Benjamin Goy, Deutsche Bank.
Benjamin Goy: One question on your excess cash. Maybe you can remind us of the likely position at year-end and how this impacts your capital allocation policy other than the potential minority buyout? Any other major files you're looking at.
Jens Schulte: Yes. So thank you very much, Benjamin. So in terms of excess cash, probably this will play out somewhere in the magnitude of EUR 1.5 billion to EUR 2 billion towards the end of the year. In terms of share buybacks that you alluded to, we have our program running, right, as I said, and we will complete the EUR 500 million. And the further story we will communicate when time is there.
Operator: The next question is from Enrico Bolzoni, JPMorgan.
Enrico Bolzoni: One, I wanted to go back on your comments about AI and being an opportunity, not a risk. And of the 3 elements you listed, I was particularly interested in the second one. I think you quickly mentioned that it might create new distribution channel. Can you perhaps expand a bit more and let us know if, for example, you are signing or about to sign partnership with, for example, third-party AI engines and whether you think that we might see a monetization of these agreements? And then related to that, if I actually have to take a more bearish stance, there's been a lot of rumor about potential disruption for software solution companies. Can you just remind us of what is the position of SimCorp in this regard and why you think is not subject to perhaps AI disruption? So that's my first question. And my second question is, in a way also related to technological disruption. I know you -- when it comes to the ledger, so the blockchain technology [indiscernible] in the past agreement with HQLA. Can you remind us what do you expect will happen to post services in an environment where there is basically a rising velocity of collateral and perhaps the settlement cycle compresses further, maybe also beyond T+1. So how do you think the business should be positioned and is that a risk?
Stephan Leithner: Thank you very much, Enrico, taking up both of your questions. Let me first start on the AI side. And I really emphasize and appreciate you taking up SimCorp. I think the uniqueness of SimCorp is that contrary to sort of any ancillary type services on the software side. SimCorp is very much a front-to-back sort of backbone type business. Therefore, it is really anchored at the core of what is the clients' operations, and that really sets it apart. That's why I think we see a lot of positive enhancement possibilities. That's what SimCorp has started to put in place with the copilot for example around their front office reporting capabilities. Many of those tools give improved usage capabilities for the clients. But I don't think there is any way similar to many of our operations type businesses and execution services. This is a real backbone type system that we operate for the clients in the cloud increasingly as we have said. I think the second point with respect to the data, we have a broad set of data points. And let me just highlight 2 or 3 examples out of that. One is the proprietary data that we can provide on collateral management. One of the themes that you later come back with the DLT and blockchain. So we have a pretty unique capability. In terms of the data understanding, both on collateral as well as on settlement that allows us to deliver services directly to clients because we have that connection to the clients. So therefore, our focus is not signing up a wider distribution agreement, but it's really delivering and optimizing what we can do directly with the client. I think that economically is a much better, much stronger way to monetize AI as well as proprietary data, which we have in so many areas. On your second theme around the blockchain and DLT, HQLAX is one good example of a very advanced and broad industry partnership where Deutsche Börse or Clearstream in this case, has carved out a pretty unique position because within that ecosystem of HQLAX with most of the relevant market participants, the only TTP, so the only trusted third party that is able to confirm the portfolio composition similar to a tri-party agent role is really the Clearstream side. So I think it shows that in these network environments, even if there is DLT used, there is a very strong ability for Clearstream to position and have a unique starting point. Now you also inquired around the implications, if I get it correctly, on the T+1, the higher settlement cycles. We overall see this as something that we don't expect material extra costs on our side, very different from many custodian firms who have a big rewiring to do. So there is no material cost because today, we are really able to operate. Most of this process is already on a T+1. This doesn't fundamentally change. So we also don't see an erosion of our position coming out of T+1. It's really strengthening the strongest operators in the CSD space, and that's where certainly there's not more than 2, if I look those that are able to operate. We have just announced the pan-European footprint operation by basically operating direct services on settlement across all 28 CSDs. Again, it's a unique partnership, a unique link up network that Clearstream has, no others have it. I think it will be strengthened if we move into T+1.
Operator: Next question is from Tobias Lukesch, Kepler Cheuvreux.
Tobias Lukesch: Also one or two questions from my side, please. Touching on the costs, you mentioned some active cost management and also some investments. I would be interested how active were you in Q3? Should we consider the 3% guidance to be more of a 2.6% for this year, and in terms of investments, is there more to come on the AI opportunities that you're seeing? Or is that something we should consider for '26? Or is that not all really impacting your investment cycle that you have planned so far? And very quickly, you touched on the OTC derivative clearing again and said, with EMEA, this is well on track. Maybe you could give us a bit more insight on the business development since also your competitor kind of doubled down on the business with Q3.
Jens Schulte: Good. So I take -- first of all, I start with the OpEx question. So in terms of just generally active cost management, we continuously do active cost management, for example, in terms of expanding our location footprint currently moving parts of the business to India and other locations and gaining further efficiency from our systems. So that is an ongoing process that is not only -- has not only been relevant for Q3. Now very specifically to your question in terms of guidance, we do confirm that guidance at the moment. Keep in mind that as in previous years, if you look into '23 and '24, we usually in Q4 have some seasonality, for example, driven by investments being a bit back-end loaded, driven by merit increases, severance and several other things that typically tend to come more out towards the year-end. So for the moment, we do plan with the 3% and that is the target and then let's see how we come in. But we are well underway. I mean that is certainly true. On the second point, OTC clearing, and the EMEA side, so what I alluded to in my part is that we actually did increase the number of accounts from about 1,600 to 2,200, so by 600 accounts. It is fair to say that the activation rate of those accounts is still relatively muted. So it's overall around 20%. However, what we do recognize now is that after a technical implementation standards have come out and after the clients have started to sort themselves, they are now making specific plans as to how to route their flows. And so we do expect the activity to increase next year. Bear in mind on this topic, that the -- basically, the activation requirement needs to be fulfilled throughout the first full year, so until basically May of next year, so the customers still have time and they take the time to organize themselves properly, but we do expect a significant increase of activity beginning of the next calendar year.
Stephan Leithner: Let me take your third part, the investments impact of AI. First of all, let me give you a context that I think is truly very important and sets us apart, which is we have gone very much an advanced investment cycle when it comes to a number of items that now really benefit us on the AI journey, and that's, in particular, the transition into the cloud. We have a mid-70% of our portfolio that is in the cloud that allows us much faster and much more efficient. We have in parallel done and made the transition on the IT security side. So again, these are all areas where we have, over the last years, run significant investment portfolios from which we are now benefiting, that's why we also don't expect any requirements or change when it now comes on the AI invest because we can really build on that effectively and efficiently work together with major model providers and deploy very fast into our organization. So that's one of the items that I think truly from a wider market debate that I've seen around the margin impact of AI is something that we, in our scan and in our review process that we have run have really not seen happen. And I think that's very encouraging to us in terms of the speed and the implementation environment.
Operator: [Operator Instructions] And now is from Hubert Lam, Bank of America.
Hubert Lam: I've just got one of them. Can you talk about a bit about the pipeline of new clients or upsell for SimCorp into Q4. Usually, I think there's more seasonality in Q4. Just wondering if we should expect a big quarter and what kind of growth to expect heading to the end of the year?
Stephan Leithner: Thanks for asking the question, Hubert. I think the seasonality of Q4, we have now explained a number of times and documented in the past years. I think we have given the guidance that in the remaining quarters, we'll see 10% quarter-by-quarter or that's what we said after the first quarter, I think we continue to stick and believe. And if we look at the pipeline, that's what we actually see. But software is every year back-end loaded sort of environment, and therefore, I think it's a lot of hard work, but signs are all on track.
Operator: And the next question is from Tom Mills, Jefferies.
Thomas Mills: You've alluded to the setting up of new medium-term targets at your CMD on the 10th of December, which I guess means to out sort of 2028. There's obviously been a change of CEO and CFO since the current medium-term targets were put in place. Could you maybe talk a bit about how you fear about getting to the '26 targets? Is it your intention to kind of maintain those or do you step back from them at all? Just because I see sort of consensus is a little below where you're currently expecting to get to?
Stephan Leithner: Thank you very much, Tom, for giving me the opportunity to reiterate and emphasize what I said earlier. I think we both really very much confirming our 2026, Horizon '26, as we had talked about it before. I think there is no change and December 10 will not make us change their position. And secondly, also emphasize what I alluded to earlier, which is we see that many of the new growth themes that we see emerging are really fueling us for a long-term growth that goes beyond 2026. So we have a very comfortable outlook there.
Operator: Next question is from Jochen Schmitt, Metzler.
Jochen Schmitt: I have one follow-up question on custody revenues. You have already mentioned higher revenues from collateral management. Would you see those revenues as partly nonrecurring? Or would you see Q3 as a reasonable starting base for modeling purposes? That's my question.
Stephan Leithner: So we do see that as recurring revenues. The settlement business, settlement custody business has a very good run at the moment, and we do see that carrying into the future.
Operator: At the moment, the last question comes from Michael Werner from UBS.
Michael Werner: I got two, please. First, on the [indiscernible] products. I was just wondering if you can update us on your thoughts about the fee holidays that you currently have on them and whether that could potentially lift in 2026? And then just looking at IMS, I know there was some decline in exceptional costs. But the underlying cost base in IMS year-on-year has been pretty steady, showing quite decent operating leverage. Is that something we should expect going forward? Was there any kind of moving parts on the cost base as I assume SimCorp is a place you want to continue to invest?
Stephan Leithner: I think with respect to the fee holiday outlook, we have said we will work on establishing a very stable sort of business base before we really change. So we'll continue to monitor that in Q1, how far out that is going to go. We will decide in the course of the year. So there is no prediction that we're giving at this point. I think the second question that you had with respect to the IMS cost operating leverage, indeed, sort of clearly with respect to some of the areas that have shown slower growth or we have been active and the management teams have been working on the cost. So I think you need to look at that in the aggregate of IMS. I think it doesn't signal at all. And our investment commitment around the SimCorp momentum, as we speak, is very unchanged and there's important product enhancements on which we're working. There have been recent product introductions that have also been fueling some of those big wins, in particular, in the U.S. that we have been very proud about and that we reported on basically a named basis, if I can say, in Q2 already.
Jan Strecker: There are no further questions in the pipeline. So we would like to conclude today's call. If there's anything else, then please do feel free to reach out to us directly. Thank you very much for your participation, and have a good day.